Operator: Ladies and gentlemen, thank you for standing by and welcome to the Fourth Quarter and Full Year of 2021 Tarena International, Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] I must advise you that this conference is being recorded today March 16, 2022. I would now like to hand the conference over to your first speaker today, Ms. Sylvia Yang, Investor Relations Manager. Thank you. Please go ahead.
Sylvia Yang: Thank you, operator. Hello, everyone and welcome to Tarena’s earnings conference call for the fourth quarter and full year of 2021. The company’s earnings results were released earlier today and are available on our IR website, ir.tedu.cn as well as on Newswire services. Today, you will hear from Ms. Nancy Ying Sun, our CEO; and Mr. Kelvin Lau, our CFO, who will take you through the company’s operational and financial results for the fourth quarter and full year of 2021 and give revenue guidance for the first quarter of 2022. After their prepared remarks, Nancy and Kelvin will be available to answer your questions. Before we continue, please note that the discussion today will contain certain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Tarena does not assume any obligations to update any forward-looking statements, except as required under applicable law. Also, please note that some of the information to be discussed includes non-GAAP financial measures, as defined in Regulation G. The U.S. GAAP financial measures and information reconciling these non-GAAP financial measures to Tarena’s financial results prepared in accordance with U.S. GAAP are included in Tarena’s earnings release, which has been posted on the company’s IR website at ir.tedu.cn. Finally, as a reminder, this conference call is being recorded. In addition, a webcast of this conference call is available on Tarena’s Investor Relations website. I will now turn the call over to Ms. Nancy Ying Sun, the CEO of Tarena.
Nancy Ying Sun: Thank you, Sylvia, and thanks to all the shareholders to participate in our call. Thank you very much for your attention and your support. We are pleased to announce Tarena's results for the fourth quarter of 2021. We are delighted to see that in the fourth quarter of 2021 both of our childhood & adolescent quality education and adult professional education businesses reached their highest amount of quarterly cash collection during the year of 2021. As a result, our net cash provided by operating activities in the fourth quarter of 2021 achieved RMB129.5 million, and our total cash and cash equivalent balance increased to RMB430.4 million as of December 31, 2021. At the same time, we are glad to see that our total net revenues were RMB655.3 million, which was higher than the guidance we gave in the last quarter. The total net revenues in the fourth quarter of 2021 increased by 0.8% as compared to the total net revenues of RMB650.3 million in the same period of last year, and increased by 6.5% as compared to the total net revenue of RMB615.2 million in the third quarter of 2021. Operating loss decreased by about 29.1% to RMB60.4 million in the fourth quarter of 2021 from RMB85.1 million in the same period of last year. Operating margin improved by 3.9% to 9.2% in the fourth quarter of 2021 from 13.1% in the same period of 2020. Net loss after deducting the income tax expense of RMB125.7 million was RMB182.5 million in the fourth quarter of 2021. The increase in income tax expenses was mainly because we’ve made appropriate provision allowance against the deferred income tax assets, which was derived from the utilized tax loss as it was more likely than not that the unutilized tax loss will not be utilized within the 5-year deduction period. Meanwhile, the number of total headcounts decreased by 1.7% to 10,009 in the fourth quarter of 2021 from 10,181 in the same period of last year. The productivity per capita on an annual basis increased by 37.1% and to RMB236,000 in 2021 from RMB172,000 in 2020. Our total revenues increased by 25.7% to RMB2,386.5 million in 2021 from RMB1,897.9 million in 2020. In 2021 as we have achieved a steady growth in net revenues and have implemented effective measures to control costs and expenses, and our operating loss decreased significantly by 54.2% to RMB369.1 million in 2021 from RMB806.4 million in 2020. Operating margin improved by 27% to 15.5% in 2021 from 42.5% in 2020. Now I will walk you through our two businesses operations in the fourth quarter of 2021. First of all, let's look at the performance of our adult professional education business. Optimizing the business structure, reducing costs and uplifting the operational efficiency and productivity has always been the business strategies of our adult professional education business. Due to the number of learning centers have been reduced by four by the end of the fourth quarter of 2021 as compared to that by the end of the same period of 2020. Student enrollments decreased by 14% to 30,200 in the fourth quarter of 2021 from 35,100 in the same period of last year. Net revenue from adult professional education business dropped by 9.4% to RMB319.3 million in the fourth quarter of 2021 from RMB352.4 million in the same period of last year. However, we’ve achieved gratifying improvement in the average annual net revenue per single learning center, which increased by 16.1% to RMB11.3 million in 2021 from RMB9.7 million in 2020. We’ve also made significant progress in managing costs and operating expenses by significantly optimizing the personnel-related costs, general and administrative expenses dropped by 61.1% in the fourth quarter of 2021 as compared to that in the same period of 2020. The postgraduate job placement rate still maintained at a level of over 90% in the fourth quarter of 2021. Outstanding children quality and effectiveness continued to build our long-term competitive advantage in the market. Net revenue from adult professional education business increased by 1.2% to RMB1,150.2 million in 2021 from RMB1,136.1 million in 2020. Cost of revenue dropped by 2.6% to RMB409.3 million in 2021 from RMB420.3 million in 2020. Gross profit increased by 3.5% to RMB740.9 million in 2021 from RMB715.7 million in 2020. Gross margin improved by 1.4% to 64.4% in 2020 from 63% in 2020. Next, I would like to share with you the performance of our childhood & adolescent quality education business. In 2021, we achieved great development in customer acquisition, operation, product structure and business process optimization in our childhood & adolescent quality education business. These achievements resulted in the net revenues have been increased significantly. Cost of revenues and operating expenses have been properly and effectively managed and operational efficiency has been improved to a greater extent in 2021. Net revenues from childhood & adolescent quality education increased by 12.8% to RMB336 million in the fourth quarter of 2021 from RMB297.9 million in the same period of last year. Student enrollments increased by 17.9% to 151,300 in the fourth quarter of 2021 from 128,300 in the same period of last year. The number of new contracted students including new registered students and renewal students increased year-over-year by about 22.3% to approximately 42,800 in the fourth quarter of 2021 from approximately 35,000 in the same period of last year. In the full year of 2021, net revenue from childhood & adolescent quality education increased significantly by 62.3% to RMB1,236.3 million from RMB761.8 million in 2020. The number of new contracted students, including new registered students and renewal students was approximately 143,100, up about 38.4% from last year's 103,400, of which the proportion came for students' renewal and word-of-mouth promotional activities continued to increase, reaching 70.8% in the fourth quarter of 2021 compared to the full year rate of 66.4% in 2020. The high rate of student satisfaction guaranteed that the renewal rate of students who have enrolled for more than 1-year exceeded over 83.2% in 2021. Student enrollments were 178,400 in 2021, up 26% year-over-year. The number of learning centers increased to 238 in the fourth quarter of 2021 from 236 in the same period of 2020. Student enrollment per learning center increased to 753 in 2021 from 625 in 2020. Average annual net revenue per single learning center increased by 55.4% to RMB5.22 million in 2021 from RMB3.36 million in 2020. In the fourth quarter of 2021, with the growth of net revenue, cost of revenue increased by 25.5% year-over-year and gross profit decreased by 4.7% year-over-year. Gross margin was 35.6% in the fourth quarter of 2021. In 2021, the increase in net revenue was 62.3%, outweighing the increase in cost of revenue of 22.5% and skyrocketing in the gross profit by 285.3% year-over-year. Gross margin increased by 20.8% to 35.9% in 2021. Our childhood & adolescent quality education online business has continued to grow, with revenue of RMB111.5 million in 2021, which represented an increase of 3.2% from last year, and accounted for about 9% of the total net revenue of childhood & adolescent quality education in 2021. Looking back on 2021, our abilities to develop and deliver products based on the Online-Merge-Offline, which is OMO model, strong offline learning centers operation capabilities and the customer acquisition capabilities have continued to enhance our core competitive advantages. Meanwhile, our measures to optimize business structure and uplift operational efficiency enabled us to cope with the negative impact arising from the sporadic occurrence of COVID-19 cases. So, looking ahead, based on what we’ve achieved in 2021, we will continue to uplift our operational efficiency. And at the same time, we will enhance our business growth capabilities and adhere to the strategy of long-term sustainable development we strive to achieve the goal of turning from net loss to net profit as soon as possible. I want to take this opportunity to thank you all again for your continued attention and support. I'd like to turn the call to Kelvin, our CFO, who will share with you the fourth quarter and full year of 2021 financial highlights. Thanks.
Kelvin Lau: Thank you, Nancy. Now I would like to take you through the fourth quarter and full year of 2021 financial highlights. Total net revenues increased by 0.8% to RMB655.3 million in the fourth quarter of 2021 from RMB650.3 million in the same period of 2020. Net revenue from childhood & adolescent quality education business increased by 12.8% to RMB336 million in the fourth quarter of 2021 from RMB297.8 -- RMB297.9 million in the same period of 2020. The increase was primarily due to increase in student enrollments from 128,300 in the fourth quarter of 2020 to 151,300 in the same period of 2021. Net revenue from adult professional education business decreased by 9.4% to RMB319.3 million in the fourth quarter of 2021 from RMB352.4 million in the same period of 2020. The decrease was primarily due to decrease in student enrollments from 35,100 in the fourth quarter of 2020 to 30,200 in the same period of this year. Cost of revenues increased by 12.4% to RMB327.7 million in the fourth quarter of 2021 from RMB291.5 million in the same period of 2020. The increase was primarily due to increase in personnel-related costs resulting from the growing number of teaching staff at our childhood & adolescent quality education learning centers. The increase in social security fees which will exempt according to the preferential policies and added by the government during COVID-19 pandemic in the fourth quarter of 2020, but were not exempt in the fourth quarter of 2021. Gross profit decreased by 8.7% to RMB327.6 million in the fourth quarter of 2021 from RMB358.8 million in the same period of 2020. Gross margin, which is equal to gross profit divided by net revenues was 50% in the fourth quarter of 2021 compared to 55.2% in the same period of 2020. The decrease in gross margin was primarily attributable to the increase in total cost of revenues, awaiting the increase in total net revenue in the fourth quarter of 2021. Total operating expenses decreased by 12.6% to RMB388 million in the fourth quarter of 2021 from RMB443.9 million in the same period of 2020. Total non-GAAP operating expenses, which excluded share-based compensation expenses, decreased by 12.1% to RMB383.6 million in the fourth quarter of 2021 from RMB436.4 million in the same period of 2020. Total share-based compensation expenses are located to the related operating expenses decreased by 41.3% to RMB4.4 million in the fourth quarter of 2021 and RMB7.5 million in the same period of 2020. Selling and marketing expenses decreased by 0.7% to RMB221.8 million in the fourth quarter of 2021 from RMB223.3 million in the same period of 2020. The decrease was mainly due to a decrease in personnel-related costs, resulting from a drop in the number of sales staffs, which was partially offset by the increase in sales promotion fee in the fourth quarter of 2021 as compared to the same period of 2020. General and administrative expenses decreased by 32.2% to RMB132.5 million in the fourth quarter of 2021 from RMB195.3 million in the same period of 2020. The decrease was mainly due to decreased investment related costs as a result of decrease in the number of staff and one-off income recognized resulting from the receipt of the settlement payment from the Buyer Group Parties of the proposed privatization transaction in the fourth quarter of 2021. Research and development expenses increased by 33.3% to RMB33.7 million in the fourth quarter of 2021 from RMB25.2 million in the same period of 2020. The increase was mainly due to an increase in personnel-related costs in the fourth quarter of 2021. Operating loss was RMB60.4 million in the fourth quarter of 2021 compared to operating loss of RMB85.1 million in the same period of 2022 -- of 2020. Non-GAAP operating loss, which excluded share-based compensation expenses was RMB56.5 million in the fourth quarter of 2021 compared to non-GAAP operating loss of RMB77.5 million in the same period of 2020. The Company recorded an income tax expense of RMB125.7 million in the fourth quarter of 2021 compared to income tax expenses of RMB7 million in the same period of 2020. The increase in tax expenses was mainly due to an increase in provision allowance related to the deferred tax assets, which was derived from the unutilized tax loss, as it was more likely than not that the tax loss will not be utilized within the 5 years deduction period. As a result of the foregoing, net loss was RMB182.5 million in the fourth quarter of 2021, compared to net loss of RMB94.7 million in the same period of 2020. Non-GAAP net loss, which excluded share-based compensation expenses, was RMB178.6 million in the fourth quarter of 2021, compared to non-GAAP net loss of RMB87.1 million in the same period of 2020. Loss per ordinary share was RMB3.22 in the fourth quarter of 2021, compared to loss per ordinary share of RMB1.72 in the fourth quarter of 2020. Non-GAAP loss per ordinary share, which excluded share-based compensation expenses, was RMB3.16 in the fourth quarter of 2021, compared to non-GAAP loss per ordinary share of RMB1.58 in the fourth quarter of 2020. Net cash inflow from operating activities in the fourth quarter of 2021 was RMB129.5 million. Capital expenditures in the fourth quarter of 2021 were RMB21.4 million. Now I'm going to take you through the full year of 2021 financial highlights. Net revenues increased by 25.7% to RMB2,386.5 million in 2021 from RMB1,897.9 million in 2020. Net revenue from childhood & adolescent quality education increased by 62.3% from RMB761.8 million in 2020 to RMB1,236.3 million in 2021. The increase was mainly due to increase in student enrollments of childhood & adolescent quality education from 141,600 in 2020 to 178,400 in 2021. Net revenue from adult professional education business increased by 1.2% from RMB1,136.1 million in 2020 to RMB1,150.2 million in 2021. The increase was mainly attributable to increase in unit price of tuition fee, and certificate revenue, whilst partially offset by decrease in student enrollments from 83,400 in 2020 to 72,100 in 2021. Cost of revenues increased by 12.6% to RMB1,201.4 million in 2021, from RMB1,066.8 million in 2020. The increase was mainly due to increase in personnel-related costs resulting from the growing number of teaching staffs and increase in social security fees which were exempted according to the preferential policies enacted by the government during COVID-19 pandemic in 2020, but were not exempted in 2021. Gross profit increased by 42.6% to RMB1,185.1 million in 2021, from RMB831 million in 2020. Gross margin, which is equal to gross profit divided by net revenues, was 49.7% in 2021, compared to 43.8% in 2020. The increase in gross margin was primarily attributable to the increase in total net revenues outweighed the increase in cost of revenues in 2021 and the effective cost controls we have implemented in 2021. Total operating expenses decreased by 5.1% to RMB1,554.2 million in 2021, from RMB1,637.4 million in 2020. Total non-GAAP operating expenses, which excluded share-based compensation expenses, decreased by 4.1% to RMB1,535.2 million in 2021, from RMB1,601.6 million in 2020. Total share-based compensation expenses allocated to the related operating expenses decreased by 46.9% to RMB19 million in 2021, from RMB35.9 million in 2020. Selling and marketing expenses decreased by 3.1% to RMB878.1 million in 2021, from RMB906.3 million in 2020. The decline was mainly due to decrease in advertising expenses in 2021. General and administrative expenses decreased by 9.6% to RMB570 million in 2021, from RMB630.6 million in 2020. The decline was mainly due to decrease in personnel-related cost and welfare as a result of decrease in number of staffs, and the one-off income recognized resulting from the receipt of the settlement payment from the Buyer Group Parties of the proposed privatization transaction in 2021. Research and development expenses increased by 5.6% to RMB106.1 million in 2021, from RMB100.5 million in 2020. The increase was mainly due to the increase in personnel-related costs in 2021. Operating loss was RMB369.1 million in 2021, compared to operating loss of RMB806.4 million in 2020. Non-GAAP operating loss, which excluded share-based compensation expenses, was RMB350 million in 2021, compared to non-GAAP operating loss of RMB770.1 million in 2020. The Company recorded an income tax expense of RMB114.1 million in 2021, compared to income tax benefit of RMB35 million in 2020. The increase in tax expense was mainly due to the increase in provision allowance made to the deferred tax assets which was derived from the unutilized tax loss, as it was more likely than not that the tax loss will not be utilized in the 5 years deduction period. As a result of the foregoing, net loss was RMB475.8 million in 2021, compared to net loss of RMB771.2 million in 2020. Non-GAAP net loss, which excluded share-based compensation expenses, was RMB456.7 million in 2021, compared to non-GAAP net loss of RMB734.9 million in 2020. Loss per ordinary share was RMB8.43 in 2021, compared to loss per ordinary share of RMB14.11 in 2020. Non-GAAP loss per ordinary share, which excluded share-based compensation expenses, was RMB8.10 in 2021, compared to non-GAAP loss per ordinary share of RMB13.44 in 2020. Net cash inflow from operating activities in 2021 was RMB8.6 million. Net cash inflow from investing activities in 2021 was RMB33.7 million. The net proceeds from disposal of properties and long-term investments were RMB94.6 million and the capital expenditures were RMB67.7 million in 2021. In terms of financial guidance, based on our current estimates, total net revenues for the first quarter of 2022 are expected to be in the range of RMB580 million to RMB610 million, which represent an increase of 8.6% to 14.2% as compared to the net revenues in the first quarter of 2021, after taking into consideration the seasonal fluctuation and the likely continued impact of the COVID-19. This guidance is based on the current market conditions and reflects the Company's current and preliminary estimates of the market and operating conditions, which are subject to change, particularly as to the potential impact of COVID-19 on the economy in China and elsewhere in the world. This concludes my financial highlights section. Operator, we are ready for questions. Thank you.
Operator: [Operator Instructions] We don't have any questions at the moment. Presenters, please continue.
Unidentified Company Representative: Yes, I think during the moment, I'll wind up the -- ask Nancy to wind or add some information.
Sylvia Yang: Sorry, Amber [ph], could you please wait a second.
Operator: Certainly. [Operator Instructions]
Nancy Ying Sun: So, this is Nancy. And first of all, I'd like to thank all of our investors for joining the call Actually, we did quite well in 2021, even though there are sporadic fluctuations and occurrence of COVID-19, but we still achieved good growth for our two business i.e., the childhood & adolescent quality education business as well as very good growth for our -- good performance for our adult professional education business throughout 2021. In the future, we will continue to optimize our business structure, always trying to lower the cost, and we are very confident that we can achieve a very healthy and sound growth for our two businesses in 2022. Okay. So, in 2022, we will continue to improve our operational efficiency and our core goal is to make profits, and our overall strategy, our overall objective is to achieve long-term sustainable development, even though that our adolescent & childhood business are in different stage than our adult professional education business. So that is why we have different strategies for these two businesses. For example, for our childhood & adolescent quality education business, that's been going on for more than 6 years. And right now, what we are focusing on is to achieve a profitable business model. And in the Q4 of 2021, we're already making profit for our childhood & adolescent quality education business. And we are in the -- going forward, we will continue to improve our business development. By the way, the business has already developed for our childhood & adolescent business, and we have already achieved a very significant loss reduction for this business. And judging from the record of our January in 2022, we are already making profits for our childhood & adolescent business. And in the future, we will continue to hone in our childhood & adolescent quality education business. Regarding our adult professional education business, it is a business that's going on for more than 20 years. It enjoys very mature business model. And going forward, we will continue to optimize our adult business structure, continue to improve our capability to improve its profits, and by the end of 2024, even though that the number of learning centers have been reduced by four by the end of Q4 of 2021, we still can achieve a positive revenue throughout the year for our adult business as well as significant improve of improvement of our gross profit and the improvement of revenue per single learning center and judging by the record of our January performance in 2022, the gross profit of our adult professional education business reached around 70% and the profitable level reached around 30%. And the revenue guidance that we gave you based on the Q1 of 2022 is significantly higher than the same period of last year. And even though the performance of Q1 in 2022 was slightly impacted by the China's Lunar New Year happened in February, which was quite seasonal. We are fully prepared to welcome other breakthroughs. For example, breakthroughs of our net revenue throughout the year in 2022 because we have already achieved a very sound and sustainable growth model for our two business. So, I'd just like to take this opportunity to thank all of you for your long-term attention as well as your patience and your support. Just trying to ask are there any other questions?
Operator: [Operator Instructions] We have a question from Dave [indiscernible]. Please go ahead. Please ask your question, Dave.
Unidentified Analyst: So, thank you very much for that presentation. First off, I want to congratulate on Tarena's good performance in the Q4 of 2021, which is quite commendable. My question is regarding the rebound of COVID-19 due to the outbreak of the COVID-19 in Beijing, yet again this year, a lot of off-campus training institutes have been caught off and shut down. So, will this impact our offline learning centers?
Nancy Ying Sun: So, thank you for that question. And this is Nancy, the CEO of Tarena International Incorporated. And thank you very much for that question because it is quite normal that we see this rebound of COVID-19, and we only need to look at it from a -- with a detached mind and to look at it as a normal thing going on in China, in Beijing. And for us, we are an education company -- educational company, and we are providing good educational products as well as high-quality education service. So, no matter what's going on in the world in the society, we still need to provide high-quality service for the sustainable growth of our kids and for our adults. So that is why the core -- the core competitive edge for Tarena has always been a sound and sustainable growth model. So, we are very fortunate that our -- all of our business, our adult business as well as our childhood & adolescent business can be transferred online because for programming education course, it is in its nature that it can be top online. So let me dive a little deeper about the advantage of our curriculum. First off, we've been doing OMO, the Online-Merge-Offline online programming training for around 16 years. We have cumulated a lot of experience in this regard. During the pandemic in 2020, our adult professional education business offline was totally transferred to online and with very good and very positive feedback from our students and also we can maintain a very stable job placement rate. So far, 80% of our offline childhood and adolescent programming course has been transferred to online, and this rate has continued, except for our robotic training course. We also have already come up with a very effective transfer plan to transfer our offline robotic course to online. Meanwhile, we also will abide by the regulations of China. We also know that because the Chinese government has issued a policy to shut down a lot of schools and try to shut off a lot of off-campus training institutes. On March 15, the Education Bureau of Beijing municipal government has also released another document titled The 2022 Key Point for Informatization and Cybersecurity for the Education in Beijing. So, this documents for this policy encourages off-campus institutions to come up with Online-Merge-Offline learning products to deliver good learning practice and good high-quality learning for the students. Our childhood & adolescent quality education business can be taught either offline or online, and I think that this will be our core competitiveness in the future. And also in the future, where artificial intelligence will be the mainstay of education. So, I think that the COVID-19 is like a double-edge sword. It is both an opportunity, but also a challenge for us. We are fully capable to cope with the impact of COVID-19, and we are very confident that we will enjoy better performance in the future. And to sum up, I want to thank you for this question again. Thank you.
Operator: [Operator Instructions] We don't have any other question at the moment. Presenters, please continue.
Sylvia Yang: Thank you, Amber. If there are no further questions as for yet, we would like to conclude by thanking everyone for joining our conference call. We welcome you to reach out to us directly by e-mailing at ir@tedu.cn. Should you have any questions or requests for additional information, we encourage you to visit our IR website at ir.tedu.cn. Thank you.
A - Kelvin Lau: Thank you.
A - Nancy Ying Sun: Thanks.
Operator: Thank you, ladies and gentlemen. That does conclude our conference for today. Thank you for participating. You may all disconnect.